Operator: Good afternoon, and thank you for attending the Alta Equipment Group Second Quarter 2025 Earnings Conference Call. My name is Lydia, and I'll be your moderator for today's call. I'll now turn the call over to Jason Dammeyer, Director of SEC Reporting and Technical Accounting with Alta Equipment Group.
Jason Dammeyer: Thank you, Lydia. Good afternoon, everyone, and thank you for joining us today. A press release detailing Alta's second quarter 2025 financial results was issued this afternoon and is posted on our website, along with a presentation designed to assist you in understanding the company's results. On the call with me today are Ryan Greenawalt, our Chairman and CEO; and Tony Colucci, our Chief Financial Officer. For today's call, management will first provide a review of our second quarter 2025 financial results. We will begin with some prepared remarks before we open the call for your questions. Please proceed to Slide 2. Before we get started, I'd like to remind everyone that this conference call may contain certain forward- looking statements, including statements about future financial results, our business strategy and financial outlook, achievements of the company and other nonhistorical statements as described in our press release. These forward-looking statements are subject to both known and unknown risks, uncertainties and assumptions, including those related to Alta's growth, market opportunities and general economic and business condition. We have based these forward-looking statements largely on our current expectations and projections about future events and financial trends that we believe may affect our business, financial condition and results of operations. Although we believe these expectations are reasonable, we undertake no obligation to revise any statement to reflect changes that occur after this call. Descriptions of these and other risks that could cause actual results to differ materially from these forward- looking statements are discussed in our reports filed with the SEC, including our press release that was issued today. During this call, we may present both GAAP and non-GAAP financial measures. A reconciliation of GAAP to non-GAAP measures is included in today's press release and can be found on our website at investors.altaequipment.com. I will now turn the call over to Ryan.
Ryan Greenawalt: Thank you, Jason. Good afternoon, everyone, and thank you for joining us to review Alta Equipment Group's result -- results for the second quarter of 2025. I'll begin with a high-level overview of our performance, discuss key trends across our business segments and share our outlook for the remainder of the year. Then I'll turn it over to Tony to walk through our financials in more detail. Amid persistent uncertainty around trade policy, interest rates and broader macro sentiment, Alta delivered a strong second quarter, underscoring the resilience of our diversified model and the advantage created by disciplined operational execution even as pockets of the market remain volatile. Our Construction Equipment segment once again demonstrated its strength, driven by robust demand for heavy earthmoving machines, particularly in federal and state DOT infrastructure projects. New and used equipment sales increased by $21.5 million, supported by strong demand in many key markets and improving customer sentiment. Our Midwest and Canadian operations, particularly in aggregate and mining markets through Alta and Midwest Mine continue to outperform last year, reflecting strong momentum in those sectors. In Florida, the overall market remains resilient, particularly in infrastructure, though we've seen temporary pauses in select private nonresidential projects due to a combination of contractor labor constraints and permit timing delays. While Construction rental revenue was down from prior year, this was primarily due to our strategic initiative to rightsize our rental fleet and the divestiture of aerial fleet assets in Chicagoland during the quarter, resulting in a segment fleet size nearly $60 million below the prior year period. We entered the second half of the year with a strong sales backlog, sufficient Product support staffing and accelerated customer interest in both large infrastructure and contact equipment projects. Our Material Handling segment faced some headwinds this quarter, particularly in Michigan and Illinois, where spending among automotive and general manufacturing customers remained cautious. That said, Alta's performance was notably resilient. Materials Handling revenues were modestly up quarter-over-quarter, driven by a favorable shift in sales mix, specifically increased volumes in used equipment and allied products. Our allied product lines in the Material Handling segment refer to specialty equipment offerings that serve niche applications, typically commanding higher margins than core new lift truck sales due to their specificity, technical requirements and limited competitive alternatives. While Hyster-Yale reported sober, softer bookings industry-wide, we're seeing a different trend within our business. Bookings momentum across new, used and allied categories has remained strong year-to-date with encouraging activity in multiple regions and sectors and allied product lines comprising nearly 50% of our new equipment sales year-to-date. While Product support and fleet utilization were modestly down, most regions maintained steady backlogs and our internal July bookings showed positive signs, particularly in margin-accretive categories. Turning to our Master Distribution segment. We are pleased with the continued improvement of the business with total revenues increasing 25% to $20.9 million. Our sales team has been focused on driving stronger dealer engagement and expanding channel activity, including strategic and brand expansion across our dealer network. That said, the segment continues to face volatility tied to global trade policies and exchange rates between the U.S. and EU. We're actively managing those risks and remain focused on margin preservation and inventory velocity. Looking more holistically across all segments, our expense and inventory optimization initiatives continue to deliver results with SG&A down over $20 million year-to-date. We also continue to execute on our capital allocation strategy. During the quarter, we repurchased nearly 1.2 million shares at an average price of $5.64 per share under our $30 million buyback program, which has $17.7 million in remaining availability. Looking ahead, our outlook for the balance of the year remains encouraging, especially if we see a definitive conclusion on trade policies and a downward trending interest rates. Our customers are optimistic about the benefits of the tax incentives contained within the One Big Beautiful Bill, which could positively impact demand for new equipment across our business lines later this year. The resiliency of our business model and the diversity of our end markets continue to provide stability through down cycles and a distinct competitive advantage in the market. I want to express my sincere thanks for the entire Alta team for their hard work and dedication to the continued success of our business. With that, I'll now turn the call over to Tony, who will walk through our financials in more detail.
Anthony J. Colucci: Thank you, Ryan. Good evening, everyone, and thank you for your interest in Alta Equipment Group and our second quarter 2025 financial results. Before getting into the quarter, I want to begin by recognizing our employees, customers and partners for their continued efforts and support in Q2. Our performance is a reflection of our employees and our partners who have exhibited strength and resiliency amidst the dynamic macro environment. My remarks today will focus on 3 key areas. First, I'll present our second quarter financial results, which reflect the seasonal uplift we have come to expect, especially in our Construction segment in our Northern regions. As part of that discussion, I will give a brief financial overview of the quarter for each of our 3 segments with a deeper dive into our Construction segment's performance in the quarter and how its earnings quality has improved year-over-year. Lastly, I'll touch on the balance sheet and cash flows for the quarter. Second, I'll discuss our expectations for the remainder of the year and introduce a new annual guidance measure, free cash flow before rent-to-sell decisioning, which will provide investors with a better understanding of the company's view on cash flow expectations for the year. I'll also briefly discuss the slight adjustment we are making to the top end of our adjusted EBITDA guidance range for fiscal year 2025. Lastly, I'll comment on the progress we've made on our rebalanced capital allocation strategy, which was updated at the end of Q1. Throughout my remarks, I'll be referencing information presented on Slides 9 through 19 in our earnings deck. I encourage everyone to follow along with the presentation and review our 10-Q, both available on our Investor Relations website at altg.com. First, for the quarter, the company recorded revenue of $481.2 million, a slight reduction of 1.4% versus last year, but up a meaningful $58.2 million sequentially over Q1. Revenues in the quarter were underpinned by solid performance in our Construction and Master Distribution segments, which together sold $24.7 million more new and used equipment year-over-year, a 15.4% increase. The new and used equipment sales growth in our Construction and Master Distribution segments was offset partially by $8.3 million reduction in new and used equipment sales in our Material Handling segment. Next, in our parts and service or Product support departments, revenue was down 2.6% when compared to last year, but up slightly on a sequential basis. Important to note that some of this Product support revenue decline is strategic as we continue to optimize our Product support business, specifically in our Construction segment to drive our labor gross margins higher and reduce SG&A spend. Lastly, rental revenues are down $7.4 million year-over-year, largely related to our strategic decision to reduce the size of our rent-to-sell as we focus on better utilization and ultimately enhance returns on our investment in rental fleet. Now focusing on the segments for the quarter. First, in our Construction segment, as highlighted on Slide 11. As mentioned, new and used equipment sales outperformed Q2 of '24 by nearly $22 million, a 15% increase year-over-year. We saw strong demand in our Northern regions and continue to benefit from our customers' relationships in the resilient infrastructure and aggregate and mining end markets. However, from a new and used equipment gross profit perspective, we continue to run below historic levels and our expectations as industry oversupply continues to be a thing. On to Product support, where while we saw modest gains in revenue year-over-year, we continue to outperform on our profitability metrics, specifically in our service department as we saw gross margins gain 290 basis points year-over-year, a salute to our operations team's commitment and focus on efficiency gains in 2025. Further to that point, I wanted to highlight our Construction segment's performance and how our team has been able to improve the business year-over-year. To provide a visual, I would point investors to Slide 13 in our investor presentation. As you will note, while the segment's stand- alone EBITDA is relatively flat versus last year at $50 million, the makeup of the $50 million is different. Specifically, while 2024's EBITDA was more heavily weighted to opportunistic rental equipment sales and related gains, 2025's EBITDA has been more heavily weighted to perpetual profitability gains in the form of increased gross margins as well as reduced SG&A load. This realignment from less consistent equipment sales to more reliable recurring Product support profitability creates a more resilient business and provides for increased operating leverage for when equipment sales and gross margins return to previous levels. We are proud of the progress we made to date in our Construction segment and look forward to continuing the effort going forward. On to Material Handling, as previously mentioned and included on Slide 11, new and used equipment sales in our Material Handling segment were down $8.3 million year-over-year. But notably, the line was up on a sequential basis. A couple of items of note here. One, we believe that the Material Handling customer base as opposed to the Construction customer base has been more affected by the trade policy uncertainties, especially some of our larger customers with greater import/export exposure as they decision long-term capital commitments. Two, we still have yet to see any major cancellations in our lift truck sales pipeline; and three, as Ryan mentioned, our year-to-date lift truck bookings when combining new Hyster-Yale, used equipment and allied equipment are modestly up year-over-year, and we also saw strong bookings in the month of July, which provides a level of confidence heading into the second half. In terms of Product support revenues in Material Handling, while we continue to run behind last year's pace in parts and service, most predominantly in our Midwest and Canadian geographies, we believe we have found a bottom in these departments and that our Product support activity will stabilize throughout the remainder of the year. Lastly, from a segment perspective, Master Distribution, which houses our Ecoverse business. The story for the quarter here is simple, and its tariff related. While Ecoverse has seen stronger demand from stocking dealers and its waste management end markets year- over-year, the impact of tariffs on gross margins in the quarter was acute. Ultimately, a more stable trade environment between the United States and the European Union will enhance predictability for our business and our customers. But in the meantime, we've taken mitigating measures in terms of pricing actions and OEM risk sharing to best maneuver through this situation and are cautiously optimistic that the mitigation efforts will take hold through the second half of the year. In summary, for the quarter, efficiency gains in our service department and expense reductions led the way to $48.5 million of adjusted EBITDA. Lastly, and notably, as we focused on driving ROIC, the company was able to realize nearly the same level of EBITDA year-over-year on a leaner balance sheet as the gross book value of our rental fleet is down nearly $50 million. In terms of cash flows and in referencing Slide 15, for the quarter, free cash flow before rent-to-sell decisioning was approximately $32 million and stands at $55 million year-to-date. More on our expectation for fiscal year 2025 on this metric momentarily. To quickly check in on the balance sheet as of 6/30 and as depicted on Slide 16, we ended the quarter with approximately $280 million of cash availability on our revolving line of credit facility, plenty of capacity and term to navigate any business climate that lies ahead. Moving on to the second portion of my prepared remarks, 2025 adjusted EBITDA guidance and introduction to free cash flow before rent-to-sell decisioning guidance for 2025. First, free cash flow before rent-to-sell decision, which again is presented on Slide 15. In terms of the metric itself, free cash flow before rent-to-sell is a metric that we believe appropriately measure the true cash flow generation capacity of the business in a steady state and removes the impact of the decisions that we make with our rent-to-sell fleet, which like inventory and as observed over our recent history, can ebb and flow materially as we navigate and match OEM supply chains with customer demand and customer preference to either rent or buy. In summary, we expect free cash flow before rent-to-sell decisioning to be between $105 million and $115 million for the fiscal year 2025. In terms of the reduction of the top end of our adjusted EBITDA guidance for the year, we now expect to report $171.5 million to $181.5 million of adjusted EBITDA for 2025. The trimming of the top end of the guidance is primarily related to: one, the impact of tariffs on our Ecoverse business in Q2 and the risk associated with regaining margins over the back half of '25. And two, the expected continued drag in our product support and rental departments in our Material Handling segment, specifically in the Midwest and in Canada. In terms of the factors that we believe will continue to have a positive impact on our business in the second half, first, stability in infrastructure-based end markets will continue to act as an insulator against macro volatility in our Construction segment. Second, we expect the continued accretion quarter-over-quarter from our product support gross margin performance, specifically in our service department, driven by a continued focus on technician efficiency. Additionally, we expect a continuation of the outperformance that we saw throughout the first half on the SG&A line on a comparative basis as we head throughout the remainder of the year. Third, while material conviction in the history and resiliency of the industry's booking cycle and in specific end markets like food and beverage and general human sustenance categories. Additionally, our ability to drive revenue in allied product categories that sit alongside our Hyster-Yale offerings and our strong July bookings give us confidence headed into the second half. Finally, we expect the recently enacted One Beautiful -- Big Beautiful Bill to serve as a tailwind for equipment demand. The reinstatement of 100% bonus depreciation and expanded Section 179 expensing limits have generated year-end demand for us in the past as customers look to capture these upfront tax benefits when purchasing heavy equipment. For the last portion -- moving on to the last portion of my prepared remarks, a quick update on the renewed capital allocation strategy that was announced alongside our Q1 earnings. As a reminder, the Board authorized a $10 million upsizing of the company's buyback program to $30 million and the allocation of $10 million into a 10b5-1 plan, all of which was effective after our Q1's earnings call. I'm pleased to report the company is able to deploy the repurchase -- to deploy capital to repurchase over 1.1 million shares or approximately 3.4% of the shares outstanding in the quarter. We remain committed to taking advantage of any disconnections in the marketplace with our buyback program should further opportunities present themselves. In closing, I want to thank my Alta teammates for all of their efforts during the first half of 2025 and look forward to a strong back half of the year. I wish you all the best and look forward to updating investors on our Q3 performance in November. Thank you for your time, and I will turn it back over to the operator for Q&A.
Operator: [Operator Instructions] Our first question comes from Steven Ramsey with Thompson Research Group.
Steven Ramsey: Maybe to start with one of the topics at the end, Big Beautiful Bill potentially benefiting demand. I guess, first, would you expect that to impact one segment more than another? Secondly, is any of this embedded in the guidance or towards the high end? Or do you think the benefits of this may flow in 2026?
Anthony J. Colucci: Thanks for the question, Steve. This is Tony. I'll take that one. We -- throughout my history here, which is more than 10 years, whenever we have some stability or regulatory changes that impact a fiscal tax year, which in this case, is 2025, not '26, we usually see the impact right at the tail end of the year, and I'm talking November and December, primarily as companies start to look at their tax situation on a fiscal year basis and decide whether to take advantage of bonus depreciation, Section 179, et cetera. It also happens to be kind of the end of the year in the Northern regions in our construction business when customers are sitting down with their CPA. So definitely Q4 weighted typically when it does have an impact. In terms of impact one way or the other, I guess I would slightly lean toward Construction in terms of where it might be most impactful. But we've seen it historically impact Q4 in the Material Handling business as well. So not a 2026 issue. I think, if anything, really late here in '25. In terms of the guidance, I think it would -- any accretion would help us get to the top end of our range that we've provided here today.
Steven Ramsey: Okay. That's helpful color. And then on Material Handling, you cited hesitancy among your customer base, but still relatively resilient. But then July bookings were strong. Does that tell you that the hesitancy may be subsiding? Or how do you interpret if there is any change of trend or outlook from your customer base there?
Ryan Greenawalt: Steven, this is Ryan. I can take that one. The bookings tend to be volatile. These are fleets that are up for replenishment. So what we're seeing, I think, is a regional weak sentiment, in particular, related to the pockets of our geography that have exposure to auto manufacturing. But that said, fleets that are coming due are being replenished. And that's what we're seeing in our business is when a fleet is up for replenishment, they're not kicking the can. They're signing up for a new fleet.
Steven Ramsey: That's great. And I wanted to highlight, as you guys did a good story on G&A discipline looks like it was strong in both segments. Maybe to confirm how you expect that to play out in the second half? And then is there room for more benefits in 2026?
Anthony J. Colucci: Sure, Steve. I think probably recall that, right, it's SG&A, so selling expenses. And we would love to have more selling expenses, right, in the back half of the year. And specifically, I'm thinking commissions on the sale of equipment, right? So we'd always want to have more of those. We're happy to pay commissions when the team sells more equipment. But from a fixed cost perspective, I would say we wouldn't expect much more in the back half than what we've seen here throughout the first half in terms of just the nominal level. We think we've gotten to a good level. We've had some just efficiencies that maybe outpaced expectations related to insurance this year so far. And we're self-insured on a lot of things and so that can be a little bit of feast or famine in certain quarters. But I think the way to answer it is we've kind of found a bottom, we think, on the fixed cost for the year. We'll continue to kind of pound away, but we were really pleased with Q2, and we hope to kind of at least hold that level from a fixed cost perspective. Again, we'd love to pay more sales variable expenses throughout the rest of the year because it just benefits everybody. But hopefully, that helps, Steve.
Steven Ramsey: For sure, it does. Okay last one for me on the Construction Equipment and maybe to tie together the demand side as well as potential boost of purchasing of equipment for the Big Beautiful Bill. Do you get a sense from customers that if Construction activity stays where it is, if it doesn't recover meaningfully in the second half, that your customer base, contractors would still be willing to purchase equipment given the tax benefits of doing so? Or do you think they are factoring in higher interest rates and demand that maybe isn't coming off the bottom or an outlook for backlogs leading activity in early '26 that maybe would keep them from taking advantage of the bill?
Anthony J. Colucci: Steve, it's hard to say, but I'll give you -- take a shot at it. I think the best -- the #1 thing that gets our customers to commit to -- equipment on the construction side is the belief in their backlog. And that remains strong in terms of just sentiment. Then thereafter, I think all of the other factors start to play in, interest rates, tax, where they're at tax-wise for the year, Big Beautiful Bill, et cetera. So I still believe that backlog and confidence is what will carry the day in terms of customers wanting to buy at year-end. If all things are equal, though, and they feel good about or at least halfway decent about their backlog, I don't know why they wouldn't take advantage of the bonus depreciation and commit to assets. So for us, I think it's more confidence in backlog than just starting with taxes, if that helps.
Operator: Our next question comes from Liam Burke with B. Riley Securities.
Liam Dalton Burke: Ryan, on the -- construction business geographically, you talked about Florida being strong now. How about the other geographies that your distributors are serving?
Ryan Greenawalt: The way I'd answer that is the geographies that are more manufacturing oriented are -- we're still seeing that same sort of weakness in those markets. So even though we're talking about construction, those markets, sentiment in the industrial markets tends to be softer than, let's say, Florida.
Anthony J. Colucci: Just a quick sub bullet to that, Liam. We've mentioned our Northern regions had a good first half. Some of that is us taking share despite maybe just softness in the marketplace. And just to clarify Ryan's comments on Florida, same kind of story. Florida market, we've seen a few delays in projects, just fits and starts on permitting or potential labor issues on a project, but we're still bullish. There's tons of money flooding in from the DOT down in Florida. And we -- like I said, we've had some share gains there as well.
Liam Dalton Burke: Great. And on the M&A front, do you see opportunities backing up now that the market is firming up and the people out there looking for help?
Ryan Greenawalt: Liam, this is Ryan. I can take that one. On the M&A front, our story is pretty consistent that a weak economic cycle can break some things loose. But for the most part, these are generational assets, and it's more about finding assets that there's a succession planning issue or something like that, that's the catalyst versus the economic cycle. And our theme in terms of the demographic theme and the backdrop for M&A with the OEMs is still very solid. We see lots of opportunities across the segments.
Operator: And our next question comes from Steve Hansen with Raymond James.
Steven P. Hansen: I just wanted to focus on the margin profile for Mid. You provided some good commentary in your opening remarks. Just can you maybe speak to that competitive environment and whether you feel like it's starting to saturate or whether we're starting to get some sort of floor or some sort of support in the margin profile? And I'll start with the Construction Equipment first on the new side. Are you seeing any evidence that margins are starting to stabilize?
Anthony J. Colucci: Yes. I think that -- I think generally, Steve, stabilization is a good term, especially in the heavy equipment categories, the heavier categories. One of the things that we noticed in Q2 and really even in Q1 is that compact equipment has been a little bit more challenged in terms of gross margin. I think that ties back to some of the private non-res maybe pressure, so like smaller projects, et cetera. So -- and then in the face of a lot of supply in the market. So some of the pressure that we saw in Q2 was not necessarily in the bigger heavy stuff, where I feel like we found the bottom, but more on the compact side, which was a little bit of a surprise. We -- our call at the beginning of the year that we thought we would be through some of the supply gut -- sorry, glut in the marketplace, not necessarily our own inventory, we think that's in good shape. But in the marketplace, we continue to kind of see it. So it's kind of a little bit annoying to have the supply where it's at in the marketplace. But I think things have kind of stabilized. I wouldn't expect to pull back from here.
Steven P. Hansen: Okay. That's really helpful. And just on the rental side, you guys have rightsized the fleet down fairly materially. Are you starting to see the benefits of that in the sense that utilization is improving? Or how would you characterize utilization and even just rate, generally speaking, across the fleet maybe in your territories?
Anthony J. Colucci: I would -- yes, we're still not -- we're improved on utilization, just given numerator denominator, we've cut the size of the fleet. We're not where we want to be. We're probably somewhere in the low 60s in terms of physical utilization, and we want to be maybe near the high 60s. So still lagging on that KPI. But considering where we -- what we've done, we would have been much worse off. So yes, a little bit more room to go that way. And then I can't remember the second part of your question there, Steve.
Steven P. Hansen: No, I think you touched on it. I was just curious about the -- just -- actually, sorry, the rate side was one other question of whether rates.
Anthony J. Colucci: We've seen rates pretty much hold in, hold firm. Nothing really to report one way or the other. I mean certain product categories maybe 1 or 2-point gains, while others may be 1 or 2 points down. But that's a long way of saying stable on rates.
Operator: Thank you. At this time, we have no further questions. So this concludes our call today. Thank you very much for joining. You may now disconnect your line.